Operator: Good day, everybody, and welcome to the Movado Group, Incorporated Fourth Quarter 2024 Earnings Conference Call. As a reminder, today's call is being recorded and may not be reproduced in full or in part without permission from the company. At this time, I would like to turn the conference over to Cody McAllister of ICR. Please go ahead.
Cody McAllister: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; and Sallie DeMarsilis, Executive Vice President, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the company's safe harbor language, which I'm sure you're all familiar with. Statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all which are described in the company's filings with the SEC, which includes today's press release. If any non-GAAP financial measure is used on this call, a presentation of the most direct comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I would like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Cody. Good morning, and welcome to Movado Group's fourth quarter and year-end conference call. With me today is Sallie DeMarsilis, our COO and CFO. Today, I'm going to review the highlights of our year-end results and the launch of our new investment growth strategy. Sallie will then review our financial results as well as provide our financial outlook for the current year. For the fourth quarter and the fiscal year, we were pleased to meet our revised financial expectations. For the quarter, sales declined by 7.5% to $179.6 million and adjusted operating income was $13.8 million versus $26.8 million last year. For the fiscal year, we delivered sales of $672.6 million, a 10.5% decline from last year. Adjusted earnings per share, $2.13, including $6.4 million of interest income. We continue to maintain a very strong balance sheet, after generating $76.8 million of operating cash flow, reducing inventory by $38.2 million and ending the year with $262 million of cash and no debt. For the past year, we've operating in a challenging retail environment in our largest markets, the United States and Europe. A continuation of post-COVID dynamics a rebound in travel spending, multiyear inflationary pressures, and increasing geopolitical uncertainty are all affecting consumer demand for discretionary products. As these macroeconomic pressures mounted, a significant headwind to our top line in fiscal 2024 [Technical Difficulty]
Operator: And ladies and gentlemen, we do apologize for that. And we do now have Movado Group, Inc. They are now back. Efraim, you can go ahead and begin. Efraim, are you there? [Technical Difficulty] Ladies and gentlemen, once again we do apologize. We will try again to see if we can have Efraim and Sallie join us again. Please standby. Hello Efraim and Sallie, you are now live. You may begin.
Efraim Grinberg: Okay. Again, it looks like we had some more technical difficulties. I hope this is corrected now. So I will restart. And again I apologize for that. Good morning and welcome to Movado Group's fourth quarter and year-end conference call. With me today is Sallie DeMarsilis, our COO and CFO. Today I'm going to review the highlights of our year-end results and the launch of our new investment growth strategy. Sallie will then review our financial results as well as provide our financial results for the current year. For the fourth quarter and the fiscal year, we were pleased to meet our revised expectations. For the quarter sales declined by 7.5% to $179.6 million and adjusted operating income was $13.8 million versus $26.8 million last year. For the fiscal year, we delivered sales of $672.6 million, a 10.5% decline from last year. Adjusted earnings per share were $2.13, including $6.4 million of interest income. We continue to maintain a very strong balance sheet after generating $76.8 million of operating cash flow reducing inventory by $38.2 million and ending the year with $262 million of cash and no debt. For the past year, we’ve been operating in a challenging retail environment in our largest markets, the United States and Europe. A continuation of post-COVID dynamics, a rebound in travel spending, multiyear inflationary pressures, and increasing geopolitical uncertainty, are all affecting consumer demand for discretionary products. As these macroeconomic pressures mounted a significant headwind to our top line in fiscal 2024, we focused on the parts of our business most directly in our control, strengthening our balance sheet and building for the future. In the fall, we worked with our teams to develop a comprehensive plan to leverage our strong cash position to return the company to grow across our biggest brands and in our biggest markets. We have already begun to see positive traction from these efforts. During the fourth quarter, we began testing amplified marketing programs to drive improved sell-through behind targeted storytelling efforts in Hugo Boss, Tommy Hilfiger and Lacoste in our biggest markets in Europe, Germany, the UK, France and Spain. These efforts help trends improve towards the end of fiscal 2024 and into fiscal 2025. We also embarked on a Movado brand refresh and launched our new Connecting the Dots brand building campaign and early reads are positive. As we continue to track results, we are seeing encouraging signs, particularly in our own Movado.com website where we returned to growth during the fourth quarter and we are seeing a strong beginning to fiscal 2025. In fiscal 2025, our top priority is reestablishing growth for Movado Group. We believe it is the right time to invest in our compelling portfolio of brands and ensure we are positioned to deliver sustained long-term growth at increasing rates of profitability in the future. Our test results from this past fall give us the confidence that we are implementing the right marketing and brand-building investments throughout the coming year. While challenges remain in our distribution channels in the U.S. and Europe, we are focused on partnering with our customers to help them expand their business, build consumer demand, and increase market share across our brands. As such we have made the decision to leverage our strong balance sheet and financial position and to invest an incremental $25 million over the next four quarters to support new marketing initiatives aimed at driving growth. We will intensify these efforts as the year progresses to build upon our favorable momentum. While this is expected to cause a moderation in profit in the short-term, we believe this is the right move to support our brands and customers and importantly, deliver accelerated and consistent growth within the future. For fiscal 2025, our plans call for sales to grow approximately 5% over last year with trends accelerating throughout the year and delivering operating profit of approximately 5%, which includes our incremental brand-building investments. We believe we are laying a solid foundation for future growth both on the top and bottom-line. Our team in the world are energized to return the company to growth this year. In the United States, our strategy is focused on our Movado and Coach brands, while in Europe our priorities are focused on Tommy Hilfiger, HUGO BOSS, and Lacoste. This strategy also includes continued worldwide expansion in key markets for our newest brand, Calvin Klein and our jewelry business across our portfolio. We also expect to continue to grow our overall business in India, the Middle East, Brazil, and Mexico. Through each of our brands, we will amplify our marketing messages and storytelling to drive increased productivity in key markets. Our plans include longer-lasting iconic product introductions and families and increased conversion and of sale through targeted marketing messages and cohesive execution at every point. I am also excited about our innovation calendar across our brand portfolio as we progress throughout the year. I'll share some of the highlights of these exciting plans for our brands. To amplify and support our biggest brand Movado, this spring, we will accelerate Movado's continued brand refresh that we embarked on last fall. We're already seeing increased brand awareness across the market in key demographic targets. We recently launched our new Bold Quest, which has an opening price point of $595. It is inspired by a 1970's progressive design featuring an integrated case bracelet combination with boldly colored dials. It will be backed by a comprehensive digital and video advertising campaign. We're also introducing a new Chronograph to our biggest -- to our best-selling Movado Bold Horizon 2.0 collection this spring. As we build upon our spring advertising campaign, we will introduce television commercial, featuring our Museum Classic Chronograph for him and our Museum Classic Bracelet for her. In addition, we are already preparing a groundbreaking evolution of our Movado brand advertising campaign in the third quarter of fiscal 2025 and into fiscal 2026, which we expect will accelerate growth. We look forward to updating you on these initiatives, as the year progresses. We're planning for our licensed brands to return to growth this fiscal year, with a strong emphasis Europe, our portfolio's biggest market. On a comparable basis, licensed brand sales were down 6.5% and our objective is to fully reverse this decline in this current fiscal year. We have very targeted marketing programs for each of our licensed brands, with increased investment to support iconic and long-lasting product families in both watches and jewelry. In Tommy Hilfiger, we will continue to build on the initial success of the TH 85 family, with product expansion and strong marketing support. Our spring campaign for Tommy will also feature Lorenzo, a key multifunction watch at a sharp opening price point. We will add Georgia May Jagger to our advertising campaign for both watches and jewelry. We are collaborating with our key retail partners in the spring, with an in-marketing investment to drive sales, both at the point of sale and online. Last holiday, we began to build momentum behind HUGO BOSS with the introduction of the Candor family, a modern streamlined design available in automatic and courts movements and a number of fashionable colorways. We also received a strong response from retailers for our new Sky Travel collection. On the HUGO BOSS jewelry front, we will take advantage of the growing men's jewelry category by introducing bolder iconic looks. In Europe, we look to drive growth by emphasizing support behind the Candor and Sky Travel collections, with key retailers in both digital and billboard campaigns. In Coach, our key emphasis for the spring will be driving growth in the US market, supporting proven families Carry and Elliott. We are also growing our Amazon business for Coach, which we successfully launched late last year. In China, we're launching a new Coach brand ambassador, Chinese actress, Wu Jinyan and our focus on expanding our wholesale brick-and-mortar distribution as the year progresses. We will continue to grow our Calvin Klein business this year, with an increased emphasis on our iconic Elemental jewelry collection and our new Glean Watch collection. As part of our emphasis on expanding automatic watches for all of our brands, we will focus on driving the success of our CK iconic family with translucent skeleton dials that reveal intricate mechanical movements. In addition to investing in key markets like Spain and Germany, we are also expanding the presence of CK in India, with our new brand ambassador Indian actress Disha Patani. We have made some very strong progress in Lacoste over the last few years and we'll continue that momentum this year, with the support of our successful and long-lasting Boston and L12.12 collections with exciting new spring colorways. We have seen a very strong response to the introduction of Lacoste Jewelry last year and we'll continue to support that momentum this spring. We're very excited about a number of new introductions planned for the Lacoste brand for the second half of the year. Turning to our outlet stores. For fiscal '25, we expect sales to be in line with fiscal '24 with a weaker first half but returning to growth in Q3, as we align some of our distribution strategies during the second half of the year. Our outlet division remains very profitable and we believe the additional marketing support behind our Movado brand will benefit our outlet stores during the third and fourth quarter, driving increased sales and profitability. In movement we modified our cost structure in Q3 of last year resulting in increased profitability. We believe that movement has a significant opportunity for profitable growth as we consolidate assortment while continuing to delight consumers by driving innovation and excellent quality and value. And lastly, Olivia Burton began to drive improved performance during last year's holiday season with focused products like our new Cushion Shape Grosvenor family and our new Hexa jewelry assortment. This spring we will play into this accelerating trend by introducing a new mini Grosvenor that should resonate well with our target consumer. Overall, we're very excited about these growth initiatives underway for fiscal 2025. As you can see, we are committed to growing our business and our focus on executing and investing behind our strategic initiatives to return Movado Group to a healthy level of top line growth. Our financial position allows us to strategically deploy capital and invest in our brands and partners while building new awareness and demand for our brand portfolio. While we understand that we will sacrifice short-term profitability in order to invest and support key initiatives, where we have already seen success, we believe it is vital that we adopt and aggressively support our growth, our biggest and key markets. As we continue to invest in our business, we'll continue to prioritize our dividend strategy that rewards our long-term investors. We're very enthusiastic about the vision that our team has built for the Movado brand, as we continue to evolve our Connecting the Dots campaign and build on the brand refresh that we began last fall. The initial results we have seen are very encouraging. In our licensed brands portfolio we continue to see the momentum in our developing markets and are committed to return our biggest markets in Europe to grow. While we know fiscal 2025 will bring continued headwinds both in European wholesale segment and in the retail segment more broadly, we believe that there are great opportunities to drive growth and gain market share and we will take full advantage of those opportunities. I look forward to updating you on our progress as the year goes on. I would now like to turn the call over to Sallie to review our financial results in greater detail as well as our outlook for fiscal 2025. We would then be glad to answer any questions you might have.
Sallie DeMarsilis: Thank you, Efraim and good morning. For today's call I will review our financial results for the fourth quarter and fiscal 2024 and then discuss our outlook for fiscal 2025. My comments today will focus on adjusted results. Please refer to the description of the special items included in our results for the fourth quarter and full year of fiscal 2024 and fiscal 2023 in our press release issued earlier today, which also includes the table for GAAP and non-GAAP measures. Overall, our performance for fiscal 2024 was negatively impacted by a challenging retail environment. Despite being down year-over-year, we continue to make good progress on our strategic initiatives and maintained an extremely strong balance sheet. Turning to the fourth quarter results, which were in line with our updated expectations. For the fourth quarter of fiscal 2024 sales were $179.6 as compared to $194.3 million last year, a decrease of 7.5%. In constant dollars, net sales decreased 9%. The decrease reflects a sales decline in owned-brands, licensed brands and in our company stores. By geography, US net sales decreased 12.4%. International net sales decreased 2.9% as compared to the fourth quarter of last year. On a constant currency basis, International net sales decreased by 5.8% with continued challenges and our biggest -- in our largest international market, Europe. Gross profit as a percent of sales was 53.9% compared to 56.2% in the fourth quarter of last year. The decrease in gross margin was primarily driven by decreased leverage of higher fixed costs over lower sales, the unfavorable impact of foreign currency exchange rates and unfavorable channel and product mix. Operating expenses were $82.9 million as compared to $82.4 million of the same period of last year. The increase was driven by higher marketing expenses and an increase in payroll-related expenses nearly fully offset by a decrease in performance-based compensation. Primarily as a result of the reduction in sales and gross margin, operating income decreased by $13 million to $13.8 million as compared to $26.8 million in the fourth quarter of fiscal 2023. We reported approximately $1.8 million of other non-operating income in the fourth quarter of fiscal 2024 which was primarily comprised of interest earned on our global cash position as compared to $1.4 million during the same period of last year. We reported income tax expense of $2.8 million in the fourth quarter of fiscal 2024 as compared to $4.2 million in the fourth quarter of fiscal 2023. Net income in the fourth quarter was $12.4 million or $0.55 per diluted share as compared to $23.3 million or $1.03 per diluted share in the year ago period. Now turning to our fiscal year results. Sales were $672.6 million a decrease of 10.5% from fiscal 2023. In constant dollars a decrease in net sales was 11.7%. US net sales declined by 13.1%. International net sales decreased 8.5% or 10.6% on a constant currency basis. Gross profit was $370.4 million or 55.1% of sales as compared to $433.9 million or 57.7% of sales last year. The decrease in the gross margin rate was due to unfavorable channel and product mix, decreased leverage of higher fixed costs over lower sales and unfavorable changes in foreign currency exchange rates partially offset by reduced shipping cost. Operating income was $56.8 million compared to operating income of $123.2 million in fiscal 2023. We reported approximately $6 million of other non-operating income in fiscal 2024, which was primarily comprised of interest earned on our global cash position as compared to $2.1 million during the same period of last year. Net income was $48.3 million or $2.13 per diluted share as compared to net income of $96.8 million or $4.22 per diluted share in the year ago period. Now turning to our balance sheet. Cash at the end of the fiscal year was $262.1 million as compared to $251.6 million at the same period of last year. During fiscal 2024, we had positive cash flow from operations of $76.8 million. Accounts receivable were $104.5 million as compared to $94.3 million in the same period of last year due to timing and mix of business. Inventory at the end of the quarter was down $38.2 million or 20.5% below the same period of last year, primarily due to the timing of repeat and the alignment with sales. Capital expenditures were $8.2 million and depreciation and amortization was $9.6 million which included $2.1 million related to the amortization of the remaining acquired intangible assets of Olivia Burton and Movement. As Efraim mentioned as we look into fiscal 2025, we will use the strength of our balance sheet to invest an incremental spend of approximately $25 million in marketing and brand-building initiatives to drive long-term growth with a focus on our biggest brands and our most important commercial markets. While we expect this investment will impact profitability in the short-term, we anticipate it will increase market share and drive growth over time. We currently expect fiscal 2025 annual net sales in a range of approximately $700 million to $710 million and gross margin of approximately 55%. In addition to the increased investment in marketing and brand building, our fiscal 2025 operating expenses are expected to be negatively impacted by performance-based compensation and an increase in other payroll-related costs. Primarily as a result of higher operating expenses partially offset by higher gross profit dollars, we expect operating income in a range of approximately $32 million to $35 million. Assuming no changes to current tax regulations, the company anticipates an effective tax rate of approximately 22% for the fiscal year and earnings in a range of approximately $1.20 to $1.30 per diluted share. As mentioned, we expect the incremental marketing spend to drive long-term top line growth. However, sales trends are expected to improve behind spend as the year progresses. The company, therefore, expects net sales for the first half of fiscal 2025 to be relatively flat on a year-over-year basis. Beginning with the first quarter of fiscal 2025, outlook will no longer remit the amortization of acquired intangible assets related to the acquisition of Olivia Burton and MVMT. The company has provided a recast to GAAP and non-GAAP measures for each of the quarters of fiscal 2024 and the full fiscal year 2024 in the earnings release issued earlier today. As it relates to share repurchases during fiscal 2024, we repurchased approximately 112,000 shares. As of January 31, 2024 we had $17.9 million remaining under our authorized share repurchase program. Subject to prevailing market conditions and the business environment, we plan to utilize our share repurchase plan to offset dilution in fiscal 2025. This outlook does not contemplate significant further impact of economic deterioration and assumes no further significant fluctuations from prevailing foreign currency exchange rates. I would now like to open the call up for questions.
Operator: Thank you. And at this time, we will be conducting a question-and-answer session. [Operator Instructions] And our first question comes from the line of Michael Legg with The Benchmark Company. Please proceed with your question.
Michael Legg: Thanks. Good morning. Congrats on the quarter. I wanted to dive into the brand refresh a little bit with the $25 million spend. Can you first tell us what did that $25 million -- what does that compare to for marketing spend for fiscal before?
Efraim Grinberg: So the incremental $25 million marketing spend so we're raising our percentage of advertising this year.
Sallie DeMarsilis: But at the year, we just finished it was a little over 19% as a percent of sales. In the year coming up it will be a little bit over 22% of sales the marketing spend.
Michael Legg: Okay. Great. And then did that start early January? Or when is it being phased in? What's the timing of it?
Efraim Grinberg: No. It's mostly going to be second third and fourth quarter. We obviously started spending some in the first quarter of the year, but it will accelerate as the year goes on. But we will spend significantly more this spring than we did last year, especially as we invest behind some of the initiatives that we tested last holiday season.
Michael Legg: Okay. And then obviously it's a long-term focus on the brand refresh. Can you -- I just want to kind of understand like if we didn't put this extra $25 million spend in place what do you think would have happened to sales? And is this -- I'm just trying to understand the state of the consumer today with the higher debt with the interest rates if we get interest rate cuts what that may mean. So just kind of give me an overview of where you see the consumer, and if you didn't do the spend what you think might have happened?
Efraim Grinberg: Sure. So well I think this is forward-looking. So we're doing the spend in the next four quarters. And I think that what we're trying to do is make sure that we invest behind our brands for the long term both in the US and Europe where we see opportunities not only to build for the future, but also over the next quarters to gain significant market share in both the fashion watch category and the accessible luxury watch category with the Movado brand only in the United States. And so I think the consumer has been somewhat struggling for a while. And historically what we have found as a company is that in these times, if we take certain initiatives and invest and change how we run our business model that will pay off. Historically, coming out of recessions we've done very well. But we're not in -- technically in a recession. I do believe that the consumer is challenged. And I think as we make these investments, they will certainly pay off for the future.
Michael Legg: Okay. Great. And then obviously you're holding your gross margin so you're not getting promotional and pricing. But what are you seeing from a competitive perspective on pricing in the industry?
Efraim Grinberg: I think the market is promotional, but it has been for a number of years. So coming out I think at the beginning of COVID, it was not coming out of COVID, but then -- as there were shortages. But over the last two years, it's already been promotional. I don't think it will be increasingly more promotional than that. There are some competitors who are stressed and we may see some more promotionality from them. But that's -- I think our ability to invest behind these marketing efforts, particularly in our largest markets the United States and Europe, I think is what's really going to differentiate us as a company and differentiate us from our competitors.
Michael Legg: Okay. And I'm not looking for guidance here, but obviously this is a long-term campaign. And what do you think it means for the longer term fiscal 2025, 2026 type numbers? And where do you think this puts you after you get this campaign done?
Efraim Grinberg: So I think, look, the idea behind this campaign, I think and we alluded to that in my comments is that it will pay some long-term dividends. And I would expect that we'll be able to leverage our market investments over time. So while they've gone up this year to 22%. I think that over the next few years that will come down as a percentage of sales. And I think driving growth is really important for us as a company. And I don't think that we would -- that we can drive success by shrinking our expenses to drive success. And fortunately, we've built a really strong balance sheet that allows us to take some of our cash and reinvest this year behind the brands, and the company and growing business organically.
Michael Legg: Okay. Great. Congrats. Look forward in 2024. Thanks.
Efraim Grinberg: Okay. Thank you, Mike.
Operator: Thank you. We have reached the end of the question-and-answer session. I'll now turn the call back over to management, for your closing remarks.
Efraim Grinberg: Thank you very much for listening with us today and for participating. I want to apologize again for the technical difficulties. But I can tell you that we at Movado Group are very excited about the initiatives that we're embarking on and driving our growth strategy. And so we look forward to updating you throughout the year. Again, thank you very much.
Operator: Thank you. And this concludes today's conference. And you may disconnect your lines at this time. Thank you, for your participation.